Operator: Good day and welcome to the Reinsurance Group of America’s Q2 2012 Results Conference Call. Today’s call is being recorded. At this time I would like to introduce the President and Chief Executive Officer, Mr. Grieg Woodring; and Senior Executive Vice President and Chief Financial Officer, Mr. Jack Lay. Please go ahead, Mr. Lay. 
Jack Lay: Okay, thank you and good morning to everyone, and welcome to RGA’s Q2 2012 conference call. Joining me this morning is Grieg Woodring, our CEO. I’ll turn the call over to Grieg after a quick reminder about our forward-looking information and non-GAAP financial measures. Following Grieg’s prepared remarks we’ll open the line for your questions. To help you better understand RGA’s business we’ll make certain statements and discuss certain subjects during this call that will contain forward-looking information including among other things investment performance, statements relating to projections of revenue or earnings, and future financial performance and growth potential of RGA and its subsidiaries. Keep in mind that actual results could differ materially from the expected results. A list of important factors that could cause actual results to differ materially from expected results is included in the earnings release we issued yesterday. In addition, during the course of the call we will make comments on pre-tax and after-tax operating income, which is considered a non-GAAP financial measure under SEC regulations. We believe this measure better reflects the ongoing profitability and underlying trends of our business. Please refer to the tables in our press release and quarterly financial supplement for more information on this measure and reconciliations of operating income to net income for our various business segments. These documents and additional financial information may be found on our Investor Relations website at RGARe.com. With that I’ll turn the call over to Grieg.
Grieg Woodring: Thank you, Jack, and good morning to everyone. Yesterday we reported Q2 after-tax operating income of $122 million or $1.65 per diluted share, up $0.05 cents $1.60 per share last year. Foreign currency fluctuations adversely affected the current quarter by about $0.03 per share and the slightly higher effective tax rate had an adverse impact of another $0.03. Overall Q2 results were stable but a bit below our expectations, primarily due to mixed claim results in some of our key markets. But we did have several bright spots during the quarter as well. Despite foreign currency headwinds reported net premiums were solid, increasing 9% quarter-over-quarter; and ignoring those currency effect, premiums rose 12%. Our US Group and Individual Health lines performed well this quarter and we executed a significant deferred annuity reinsurance transaction in our US Asset-Intensive sub-segment. Our financial reinsurance business continues to thrive domestically as well as abroad. Claims experience in Canada was in line with expectations as it was for most of our markets. We did see somewhat higher than expected claims in the US individual mortality as well as in the UK and Australia this quarter. Investment income decreased $9 million or 3% quarter-over-quarter including a $45 million decline in the fair value of option contracts supporting equity index annuities and an increase from the annuity transaction that I mentioned. Excluding those items, investment income was flat compared to Q2 2011 as the increase in invested assets was offset by the drag of declining new money yields. The average portfolio yield remained at 5.05% as it was last quarter, which is down 30 basis points from last year’s Q2. Our balance sheet and overall capitalization remains strong. We’re pleased to report a 33% increase in our quarterly dividend per share, which as announced yesterday rises from $0.18 to $0.24 per share. Booked value per share increased to $84.75 including AOCI and to $60.34 without it. Turning now to our segment results, our US traditional business reported pre-tax operating income of $96 million, an increase of 5% over last year’s $91 million. Individual mortality experience was slightly adverse but the group and individual health lines performed well. Premiums were up 11% quarter-over-quarter benefiting from an in force transaction executed in Q1 of this year. Our US asset intensive sub-segment posted pre-tax operating income of $17 million down from $20 million last year, and that’s reflecting a relatively weak equity market performance in the current period. The current quarter also includes the results of a large fixed deferred annuity reinsurance transaction. We invested approximately $350 million of capital in that transaction and expect to earn a 13% return over the life of the business, earning a bit less in the first several quarters while we reposition the investment portfolio. For Q2 the annualized ROE on this transaction was approximately 7% and we expect the return on the transaction to total 10% overall for 2012. Our financial reinsurance business continues to perform well, growing pre-tax operating income to $10 million this quarter up from $7 million a year ago. Turning to Canada, pre-tax operating income declined to $31 million in Q2 from $42 million last year. Current period claims experience was in line with expectations while claims were better than expected last year. Foreign currency movement adversely affected pre-tax operating income by $3 million. Forwarded premiums increased 5% in Canada to $221 million this quarter and in local currency premiums were up 10%. Turning to our international operations first in Asia-Pacific, pre-tax operating income totaled $23 million this quarter, a sharp increase over $5 million produced in last year’s Q2 when we had adverse claims experiences in Australia and Japan. This quarter we experienced slightly higher than expected claims in Australia but all of the other Asia-Pacific markets produced good results including good growth in financial reinsurance fees. Net premiums increased 5% to $332 million including adverse foreign exchange effects of $13 million. Excluding currency fluctuations, premiums were up 9% quarter-over-quarter in original currency terms. Next, in Europe and South Africa, pre-tax operating income was $18 million this period up from $12 million last year. Claims were slightly elevated in the UK but several other European markets benefited from favorable claims experience. Reported premiums were $310 million, a 10% increase over last year. Original currency premiums were up a strong 18% over Q2 2011. Our corporate segment results have been trending below prior year comparables this year as we have allocated relatively more assets and investment income to support our other segments’ growing capital requirements which are based on an internal capital model. We expect this trend to continue throughout 2012 and believe the Q2 results in the corporate segment serve as a reasonable estimate of what to expect going forward. On a consolidated basis investment income is in line with expectations through the first six months of the year. The effective tax rate during Q2 was 34.9%, somewhat higher than anticipated, driven in part by an increase to the total tax provision associated with the expiration of active financing exception or AFE. So overall we’re pleased with Q2 which generated an annualized operating return on equity of 11%. For the trailing twelve months operating ROE was 12%, despite the ongoing effect of lower investment yields. We continue to benefit from our geographic diversification. On a year-to-date basis our premiums and bottom line are generally in line with our expectations. We invested a significant amount of our deployable capital into the fixed annuity transaction and expect to earn an attractive long-term return on that capital. Following that transaction we still have some flexibility with $100 million to $200 million of excess capital remaining and that amount should continue to build. Further, we feel we have some capacity to issue additional senior debt as well. The annuity transaction adds over $5 billion of invested assets to our balance sheet. All of RGA’s asset leverage remains below average for the life insurance industry. We expect our relative sensitivity to equity and interest rate movements to continue to be less than the average life insurance company as well. Our success will still be driven primarily by our ability to effectively price mortality and morbidity risks. Our life insurance [assumed] in force has grown to almost $2.8 trillion and we continue to review a number of [block] and in force opportunities with various markets around the world. We thank you and we appreciate your support and interest in RGA, and we’ll now take any questions you may have.
Operator: Thank you. (Operator instructions.) We’ll take our first question from Jimmy Bhullar with JP Morgan.
Jimmy Bhullar – JP Morgan : Hi, good morning. I was wondering if you could give us a little more granularity in terms of results in the asset intensive business. If you assume that the acquired block had a 7% ROE annualized in Q2 it means that maybe earnings were around $6 million or so. And when you take that out of the $17 million you reported for asset intensive it seems like the legacy RGA business performed very poorly. So what happened there? What are your expectations going forward? And then secondly, you’ve had elevated mortality in the US business for several quarters, or the last couple of quarters but with a relatively high daily frequency over the last year or two years as well. So have you seen anything in the underlying book that might make you rethink what your long-term margin expectations are for the US business?
Jack Lay: Jimmy, this is Jack. Let me respond to the asset intensive business results question. I think you’ve got the relative contribution from the large block transaction pegged pretty closely. The legacy business, I wouldn’t suggest that it underperformed, what were your exact words – “underperformed significantly” or something like that. It was a little weaker than our typical run rate which I would characterize at about $70 million per year pre-tax on that business, and we have no reason to believe we won’t be in and around that number for the year. That is the business other than the block that we put on this quarter. So we’re quite comfortable with it. Sometimes the last rates will spike in earnings a little bit from quarter to quarter so it’s not unusual for that to move around a little bit but we’re very comfortable with the overall performance of that underlying business.
Greig Woodring: In terms of mortality, Jimmy, the US has not had a particularly good run in the last, let’s say five or six quarters – there’s been some good periods and some weaker periods. We continue to see elevated claims from the period of issues in the last couple of years from the ‘90s and the early part of the 2000’s, and when we get a surge in those claims it seems to be the biggest culprit of our in force block. And that was particularly the case here in Q2, too. This was a little odd in Q2 since it was more of a frequency than severity issue in Q2, but we believe that we have a good handle on what to expect going forward but we are still fighting, though, with that particular band of issues from as we’ve mentioned a couple times in the past from around ’97 or ’98 until about 2003 or so.
Jimmy Bhullar – JP Morgan : And then just one more on the European business; the margins there were slightly weaker as well. I think you mentioned you might have had high UK claims but I’m wondering was that mortality or was that critical illness again?
Jack Lay: In Q2 it was more mortality than critical illness I believe. The UK was a little bit off, not terrible but again, it’s one of our bigger businesses so we really had none of our four largest businesses – US, UK, Canada, or Australia – performing exceptionally well. Canada was in line which was a deviation for them because they’re usually better than expected in recent years; and Australia had a good bounce back on the disability side so very good results on the disability side but disappointing results in terms of mortality and lump sum business.
Jimmy Bhullar – JP Morgan : Okay, thank you.
Operator: I’ll take our next question from Nigel Dally with Morgan Stanley.
Nigel Dally – Morgan Stanley Dean Witter: Great, thanks. Good morning. First on the Hancock transaction, I think you mentioned it was a 7% ROE this quarter, hoping for it to be at 10% for the full year. I think that’s a lot lower than many investors would have expected. So if you can discuss where you ultimately expect that ROE to get to, perhaps discuss some of the steps that you’re taking to improve those returns and whether low interest rates are potential headwinds to achieve those returns. Second, given the transaction you’ve used a significant portion of your excess capital, but I believe the top line of potential block transactions is still very robust. So if there are attractive opportunities how would you expect to finance any further transactions? Thanks.
Greig Woodring: Yeah, Nigel, first of all on the John Hancock transaction we booked essentially a fairly small amount of profit this quarter; it was for a small portion of the quarter. We need to reposition the portfolio to be a little longer because of the way we manage these assets compared to how they were managed before, so that’ll take a little while. We expect this, if you think about our mix of capital and debt to be a return that exceeds most of our pricing returns that we’re pricing for today, we’re talking about an unlevered return of 13% and a levered return of something in excess of 15% ultimately. But we will be essentially lengthening the portfolio a little bit as the year goes on, and we expect to get the assets next week now that everything seems to be in order to get that transfer over. So until we get that we can’t reposition the portfolio. The level of rates where they are today was built into all of our pricing and I think we have every confidence this business is going to perform quite well for us. In terms of our excess capital, yeah, we do have a bursting pipeline and I can let Jack comment on the level of capital and how he sees that going forward in terms of additions to it and so forth. But we do have a bursting pipeline, lots of opportunities. They run the gamut both geographically and in size and so we are very carefully watching that and hope to do more transactions.
Jack Lay: Yeah, the pipeline to which Greig refers is activity – it’s not signed deals – but you know, there’s certainly a lot of activity as he indicated. In terms of how we would finance that it really depends on the size of the deal. You can almost look at our underlying generic growth rate, and if you look at it historically it’s moderated quite a bit over the last six, eight years of so. So we’re really enhancing the growth rate with any kind of block or M&A sort of deal. And to the extent that those deals are modest in size we likely, unless we pile up quite a few all at once, we can likely finance those internally. If we do any large M&A deals then I think it’s probably more obvious we can’t necessarily finance that internally and we would have to go to the capital markets with some mixture of capital; and it all depends on the deal and the relative return in terms of how we would finance. But it would have to be a fairly large deal before we’d have to go to the capital markets.
Nigel Dally – Morgan Stanley Dean Witter: Okay, very helpful. Just a couple of other questions, numbers questions as well: tax rate – what should we expect for the remainder of the year? And also corporate expenses remain high and have been at this level for several quarters now. Should we view this level of losses as an appropriate run rate?
Jack Lay: Okay, first on the tax rate, unfortunately it does tend to bounce around from quarter to quarter. That’s why we’re reluctant to give an estimate per quarter of what you should expect, but annually it really should settle in between 33% and 34%, and you can almost cut it right down the middle that 33.5% would be our best estimate at this point going forward. We’ll likely not see that in any particular quarter but over time that’s what we would expect. In terms of the corporate segment we have, because of the growing business volumes in all the operating segments, we tend to allocate more capital which drives the investment income allocation. So we’ve allocated more capital to those segments and as a result we are attributing more of the investment income to those segments; and as a result, there’s less attributed to the corporate segment. So I think going forward you can almost expect something around a break even sort of performance and it won’t be there in any one quarter because there’s a little bit of volatility there, but over time that’s probably our best estimate at this point.
Nigel Dally – Morgan Stanley Dean Witter: Okay, very helpful. Thanks.
Operator: And we’ll take our next question from Jeff Schuman with KBW.
Jeff Schuman – KBW : Thanks, good morning. I wanted to circle back with a few more questions on the Hancock transaction. I’m a little bit confused by some simple, stupid arithmetic I guess. Grieg, it sounded like you were telling us that it would take a while to ramp to 13% but I guess simple arithmetic would say if you’re going to do 10% over the second half and you did 7% this quarter that you would have to ramp pretty quickly towards the 13%. So I’m a little unclear about the trajectory I guess.
Jack Lay: Yeah, this is Jack – maybe I can help with that. As Grieg said, during Q2 we didn’t have our hands on those assets, so to speak. They weren’t transferred…
Operator: This is the Operator. It looks like we have lost connection with our speakers. Just remain on the line and I will let everyone know when they have rejoined us. And our speakers have rejoined us at this time.
Jack Lay: Operator, this is Jack. We’re back online then?
Operator: You are back online with your participants.
Jack Lay: Okay, sorry about that. It’s not real clear where we dropped off or where the malfunction was. Jeff, maybe you could comment on how much you heard of my response?
Jeff Schuman – KBW : Thank you. Okay, Jack, can you hear me now?
Jack Lay: Yes, I can.
Jeff Schuman – KBW : Okay, sorry. I don’t think I heard much of your response. My question, which I didn’t ask terribly well was just trying to get a better fix on the exact ramp of those returns on the Hancock business, because it seems like if you’re starting at 7% and do 10% for the year that you might actually ramp quickly towards 13%.
Jack Lay: Yeah. That in fact is the case. We haven’t received those assets yet. We should early next week actually execute the transfer of the assets and until that happens we couldn’t reposition the portfolio. So we will in short order take a look at repositioning roughly 30% of that portfolio or so and we would expect to do that reasonably quickly. You don’t do that in a week but we think that a lot of it will take place in Q3, the remainder in Q4 so that by the end of Q4 we will be at roughly a run rate so to speak in terms of ROE.
Jeff Schuman – KBW : Okay, and just to be clear on kind of economics versus GAAP, one would think that if you’re selling assets and reinvesting in this environment that that kind of hurts what you print for GAAP operating income but would generate net income in the form of some gains. But when you talk about the 10% or the 13%, that’s what we would actually see emerge on an operating basis with the new lower coupons? Is that right?
Jack Lay: Yes, that’s right.
Jeff Schuman – KBW : Okay. And the other thing I wanted to ask about, just to give a little finer point I guess to capital capacity – I think you said about $100 million to $200 million but we’ve never known you to push really hard against the envelope. I’m wondering to what extent all that’s really available. And then I don’t have the metrics in front of me; I was thinking debt to cap was around 25%. Maybe you can remind us what it is and kind of what your cap is.
Jack Lay: Yeah, in terms of the first part of that question we would not be reluctant to use that capital if the right opportunities came along. And keep in mind, we are adding to that base $50 million or more per quarter. So I would think of that as capital that can be deployed into the business. In terms of leverage rates and that sort of thing, and it depends on which ratio you’re using and which rating agency you’re focusing upon, but we think we probably have $200 million to $300 million, probably closer to $300 million of leverage ability at this point – that is capacity to issue additional senior notes of some sort.
Jeff Schuman – KBW : And what is [debt to] cap?
Jack Lay: It’s a little less than 25%.
Jeff Schuman – KBW : And the $300 million would get you to what?
Jack Lay: Like I said, it depends on which ratio you’re looking at. It would modestly exceed at least one of the agency’s ratios but we think we would be able to whittle it down pretty quickly just because of the earnings power of the company. So that’s a best guess without broader discussions with the agencies but that’s our best feel right now in terms of leveragability.
Jeff Schuman – KBW : Okay, thanks a lot guys.
Operator: And we’ll go next to Ryan Krueger with Dowling & Partners.
Ryan Krueger – Dowling & Partners: Hey, good morning. I was just hoping that you could quantify how far above your expectation claims were this quarter on a consolidated level.
Jack Lay: Ryan, this is Jack. You know, if you want to convert it to a cents per share it’s in the probably $0.13 to $0.15 per share range.
Ryan Krueger – Dowling & Partners: And does that include the asset intensive segment as well? Or is that just mortality claims?
Jack Lay: Yeah, think of that as just the mortality and health businesses.
Ryan Krueger – Dowling & Partners: Okay, so some additional increment on top of that from the weaker equity market and (inaudible)?
Jack Lay: That’s right.
Ryan Krueger – Dowling & Partners: And then just on the transaction pipeline it sounds like a lot’s going on. Can you give us some sense of is it across the globe, is it focused in certain geographic areas and also the type of products you’re looking at?
Grieg Woodring: Yeah, Ryan. It is around the globe. It’s various different products. Mostly we love to get as much mortality risk as we can so our focus in many cases is on the mortality portfolios. That’s not always available but whenever it is that’s our primary focus. We are very often supporting companies that are making acquisitions when they’re very large acquisitions and at the same time we are bidding on closed blocks ourselves. So there’s a wide range and a combination of different possibilities that we are looking at but the people who work on those sorts of things are very busy right now, and that’s been the case for the last six months or so. These things take a long time to move through to a completed stage but we are pushing a lot of them through.
Ryan Krueger – Dowling & Partners: Thank you.
Operator: And we’ll go next to John Nadel with Sterne Agee.
John Nadel – Sterne Agee: Hi, good morning everybody. I just wanted to get a clarification on the fixed annuity deal. I guess during this call there’s been talk of both 13% and then 15% levered or unlevered. As you’re deploying $350 million of capital here that doesn’t sound like that’s $350 million of equity, so shouldn’t we be thinking more about the 10% for this year gliding up to 15% as opposed to 13%?
Grieg Woodring: Yeah, John, that’s true. If you wanted to say what is the levered return that is using the same mix as debt and equity that backs all of our other liabilities you would be more in the 15% camp. If you look at it marginally, incrementally we are putting capital to work unlevered at 13% or so. So yes.
John Nadel – Sterne Agee: Okay, okay. And so then if my math is reasonable and I’m thinking about that 10% ROE, is that for the three quarters I assume that that would contribute to this year; then that’s about $0.30, $0.35 per share. I’m wondering how we should think about your guidance that you provided to us a couple of quarters ago of $6.70 to $7.30?
Grieg Woodring: Yeah, one comment on our calculation. We’re using existing capital which was earning at some investment rate, so you’ve got to be careful that you look at incremental earnings versus the absolute return on that transaction.
John Nadel – Sterne Agee: Okay, that’s helpful.
Grieg Woodring: And our guidance did not contemplate any, it contemplated some degree of blocked deals but not at that size. So yeah, I think your point is our original guidance didn’t include the Hancock transaction and that would be accurate.
John Nadel – Sterne Agee: Okay, and then just again, sort of thinking about guidance: over the last week or so as we’ve sort of launched into Q2 earnings for this sector, it’s pretty clear that given the decline in both interest rates and I guess investment rates over the past three or six months that most companies either formally or informally have sort of been talking about this incremental pressure that wasn’t necessarily baked into, or at least not at this length baked into that original guidance. Should we think about some incremental pressure relative to what you had been baking into that guidance as well?
Grieg Woodring: Yeah, John, I think you should but it’s not dramatic. I think we contemplated that lower rates would hurt us by $0.15 per share or so if you just looked year over year during 2012, and new money rates have come down somewhat to what we used to go through that calculation but not dramatically. So it’s a little more headwind, maybe $0.02 or $0.03 more but not a whole lot.
Jack Lay: Yeah, that difference is likely dwarfed by just the statistical fluctuation of actual experience.
John Nadel – Sterne Agee: Yeah, okay, that was my sense; good to get the clarification. And then finally just can you discuss the financial reinsurance business a bit more, I mean particularly in Asia-Pacific where I’m not sure if that’s entirely driven by the financial reinsurance business. But the other revenue line in Asia-Pacific was very, very strong this quarter – how should we think about that business? Is that sort of one-time fee revenues or is that something that should continue?
Grieg Woodring: Yeah, John, it should continue but I’m glad you raised that point, because in the Asia-Pacific segment if you just look at ratios compared to premium some of them look a little odd and it’s driven very little by financial reinsurance. We had one client that wanted to recapture treaties primarily because of administrative issues on their end. So the treaties were recaptured and rewritten in a way that was easier for the client company to administer, and unfortunately that created some noise. There was no bottom line impact but it did create some noise in the Asia-Pacific segment P&L and let me give you a feel for the type of noise I’m referencing. Other revenue increased by $12 million solely associated with that recapture, so that $12 million, you can think of that as unusual or one-time in other revenues associated with that recapture. At the same time the reserve line or the claims and policy benefits line was reduced by about $23 million and the policy acquisition costs, which is really the difference – that line was increased by about $35 million. So those al net to zero and it created some noise, but unfortunately that was the appropriate way to handle it in terms of GAAP reporting. So that’s just one of those things but it did create noise in that particular segment’s operating results.
John Nadel – Sterne Agee: Alright, thank you very much; that’s very helpful. And just sort of overall expectations for the financial reinsurance business? I mean even if you just look at the domestic business it looks like the fee revenues continue; it sounds like at a minimum [Stancorp], which I believe you guys did a deal with them last year, it sounds like they’re looking to do another one this year. What’s your outlook there, Grieg?
Grieg Woodring: Our financial reinsurance business is very robust and very strong right now. It is especially in Asia and to some extent in the US. Europe is less so but a little bit of activity there as well and we see that continuing. Financial reinsurance provides a nice fee income basis. It’s a very technical business. It’s important to structure those transactions appropriately and correctly and we have a good team that does that.
John Nadel – Sterne Agee: Thanks very much, guys.
Operator: We’ll go next to Steven Schwartz with Raymond James.
Steven Schwartz – Raymond James: Good morning, everybody. A lot of my questions were asked already, I have just a few. Jack, Q3 tax settlement, FIN 48 benefit – just thoughts on whether we’ll be seeing that or not?
Jack Lay: Steven, our best estimate right now is we will not have a year or multiple years’ returns roll off in Q3. So I would expect to have no impact associated with FIN 48, no [negative] impact I should say.
Steven Schwartz – Raymond James: Okay, if I remember correctly there wasn’t one last year either. Is there anything in particular going on?
Grieg Woodring: Well yeah, there kind of is something going on, not negative. We’re no longer part of the… We were at one time as you can imagine part of the Met Life consolidated IRS examination process. We are not at this point, so then the IRS has determined a), they never examined specifically our US tax returns and they’ve asked for extensions to that they can get the team up to speed and that sort of thing. And as a result we’ve had a kind of discontinuity relative to FIN 48 and years rolling off. It’s nothing alarming or anything; it’s more a timing situation.
Steven Schwartz – Raymond James: And then just so I’m clear here, the amount of money you were saying is excess capital, $100 million to $200 million – that was north of some buffer or not?
Jack Lay: No, that ignores any kind of a buffer or a cushion that we’d want to maintain.
Grieg Woodring: Steven, as we’ve said in the past the cushion is kind of a long-term nice to have. That’s something that we really kind of live by day to day in terms of making capital deployment decisions.
Steven Schwartz – Raymond James: Okay, and then one more if I may: Grieg, with regards to your comment that there was a lot of deal activity both in products and geography, I’m kind of wondering if some of this or a lot of this is in Europe and may be driven by [Solvency II] considerations?
Grieg Woodring: Yes, Steven, some of it’s driven by Solvency II although we haven’t seen a lot of Solvency II-motivated transactions move their way through the pipeline yet. But certainly that is something that the Europeans especially are focusing on and we’re beginning to see a little more activity there. But that’s just part of the puzzle.
Steven Schwartz – Raymond James: Okay, alright. Thank you guys.
Operator: (Operator instructions.) We’ll go next to Humphrey Lee with UBS.
Humphrey Lee – UBS : Good morning, everybody. Just a couple of questions: for the dividend increase, I’m just kind of looking at a long-term perspective what is your definite payout ratio that you target at?
Jack Lay: Lee, I think we’ve had sort of a modest dividend payout ratio. As we start to generate distributable earnings in greater quantity, even though we have a lot of opportunities we have been bumping up the dividends. And you’ll notice if you put the last couple years together it’s been a pretty nice increase in the dividend payout of the company. Our ratio is still not on the high side; it’s on the lower side and obviously we believe that that’s a sustainable number for us as we sit here today. And we would hope that we have more flexibility in the future even. But our philosophy is to try to use our capital efficiently and try to reward our shareholders effectively and so we have moved the dividend considerably if you look over the last two years now.
Humphrey Lee – UBS : Okay. And then another question regarding the premium growth. (Inaudible) the premium growth had been stronger than what the guidance would suggest, so I just wondered in terms of how the top line would trend for the balance of the year.
Grieg Woodring: Yeah, the premium growth has been strong. A lot of that had to do with some things that we did towards the end of the year and in Q1 of this year. It’s been a very rewarding period of time and as we indicated we have a lot of unusual transactions in the pipeline. Now, our background behind all that of course is that our client companies are retaining more business, reinsuring less business on an organic basis; and so as we were putting our guidance together we were looking at that picture as well and trying to balance what was going to happen in terms of the unusual transactions in force deals and other things that add on to that story. And it’s always a little bit hard to predict but we’re very pleased with the strong growth that we’re getting really in all of our segments. In Asia we’ve had, as some of you will remember over conversations of the last several quarters, we’ve been refilling pipelines in both Korea and Japan and that exercise continues. Those were resulting from contracts that ran their natural course of life or are no longer producing and we had to replace a significant contracts flow in each of those markets. And I think we’re probably at the point where we can say we are doing that in Korea and Japan is still chasing the replacement but we’re getting there. So Asia is actually a place of very strong growth outside of that, and so that’s not come through the numbers very well either. I think once we get to the other side we’ll see good growth in Asia.
Humphrey Lee – UBS : So kind of from a [momentum] perspective how should I look at it for the reminder of the year? The pace should stay strong across regions and a little bit stronger pace across Asia-Pacific?
Grieg Woodring: Yeah, I think we should expect Asia-Pacific to catch up. The Europe segment has been real strong last year and so is strong again this year. The US is a little stronger than we would expect it to be and part of that is because of timing of different flows in the first part of the year – a little bit of improvement around lapses, so that’s helped around the edges. So we’re actually at a little bit higher than we would expect the run rate to be in the US but overall, premium growth in the 12% range is probably a little on the high side but I would expect we’d be close to 10% on a run rate these days and we feel pretty good about that sort of a forecast.
Humphrey Lee – UBS : Alright, this is helpful. Thanks.
Operator: We’ll go next to Sarah DeWitt with Barclays.
Sarah DeWitt – Barclays Capital: Hi, good morning. I just wanted to follow up on the EPS guidance for 2012 of $6.70 to $7.30. I know you typically don’t update that during the year, but just given that we’re tracking year-to-date so far below that could you just give us a sense at least directionally of whether you still think that’s achievable and why?
Jack Lay: Sarah, this is Jack. As you stated, we really don’t update our guidance after we issue it early in the year. But Grieg had commented earlier that while the results for the first half have been soft they’re not far from our expectations. So we don’t view the year-to-date as being dramatically off where we would expect it to be. In fact, it’s reasonably close to where we would have expected to be. So you can kind of take that as a baseline for where we’d expect to be.
Grieg Woodring: Historically the second half of the year is bigger numbers than the first half of the year, but we really don’t like to change our guidance after we do it once a year.
Sarah DeWitt – Barclays Capital: Okay great, thanks.
Operator: And we’ll go next to Mark Finkelstein with Evercore.
Mark Finkelstein – Evercore : Good morning. One question or two questions actually on the Hancock trade. What is the duration of the assets that you are taking on and what is the effect of duration of the liabilities? And then where do you expect the asset duration to go?
Jack Lay: Mark, the liability duration is roughly seven and the asset duration that we’re taking on is a little less than five. So we’ll be lengthening that.
Mark Finkelstein – Evercore : I guess are you trying to get the two to match or are you going to go long assets?
Jack Lay: No, we’ll try to match.
Mark Finkelstein – Evercore : Okay. And then is there any anticipated change in asset mix in terms of what you’re going to buy versus the credit quality of what you’re taking on?
Grieg Woodring: Well certainly there will be some changes just because it was a fairly generic portfolio – a fairly generic, fairly short portfolio that we took on. But we will end up with an asset mix in terms of credit quality with which we are very comfortable.
Mark Finkelstein – Evercore : Okay, alright. Thank you.
Operator: And there are no other questions at this time. I’d like to turn the conference back over to our speakers for any closing remarks. Actually, we did just have one other question come in. We have Sean Dargan with Macquarie.
Sean Dargan – Macquarie Equities Research : Thank you, good morning. I just had one question as a follow-up to asset intensive. What exactly is the impact from lower equity markets? I mean where do we see that flow through the income statement because the markets weren’t down… I mean it wasn’t a terrible quarter for the equity markets.
Jack Lay: No, it wasn’t and I think we mentioned earlier that to the extent that we had somewhat of a soft result it was due in part to equity market performance but also to lapse-ation issues and all the drivers that typically have an effect on that business.
Grieg Woodring: But on one block that’s performed very well historically for us we had a little bit of a spike in lapses this particular quarter that caused us to earn less than we expected on that block. That’s the biggest part of what happened in this quarter.
Sean Dargan – Macquarie Equities Research : Okay. Can you just remind us what your exposure to variable annuities are? I know you break out your death benefit and living benefit exposure, but what exactly are you I guess guaranteeing with those contracts?
Grieg Woodring: Yeah, Sean, I may want to direct you to the QFS that’s on our website where we, I think it’s on Page 8 we do a pretty good [job of it]. And we’ve got the VA business and the various living benefit writers there and the relative proportion of each, and the [living] proportion is GMWBs or withdrawal benefits.
Jack Lay: The balances are a couple billion dollars on that business with benefits.
Sean Dargan – Macquarie Equities Research : Okay, thank you.
Operator: And there are no other questions at this time.
Grieg Woodring: Okay, well thanks everyone for joining us this morning. Sorry for the technical glitch earlier and we appreciate your support and interest. And to the extent that you have any other questions feel free to call us here in St. Louis. And with that we’ll end the call.
Operator: Thank you, everyone. That does conclude today’s conference. We thank you for your participation.